Operator: Welcome to the Q1 2022 Yum! Brands Earnings Conference Call. My name is Ruby, and I will be your moderator for today's call. [Operator Instructions] I will now hand over to our host, Jodi Dyer, VP of Investor Relations, to begin.
Jodi Dyer: Thanks, operator. Good morning, everyone and thank you for joining us. On our call today are David Gibbs, our CEO; Chris Turner, our CFO; and Dave Russell, our Senior Vice President and Corporate Controller. Following remarks from David and Chris, we'll open the call to questions. Before we get started, I would like to remind you that this conference call includes forward-looking statements that are subject to future events and uncertainties that could cause our actual results to differ materially from these statements. All forward-looking statements are made only as of the date of this announcement and should be considered in conjunction with the cautionary statements in our earnings release and the risk factors included in our filings with the SEC. In addition, please refer to our earnings releases and relevant sections of our filings with the SEC to find disclosures and definitions of non-GAAP financial measures and other metrics that may be used in today's call as well as reconciliations of non-GAAP financial measures. Please note that during today's call, all system sales and operating profit results exclude the impact of foreign currency. Additionally, as it relates to our Russia business, our operating results for the first quarter continue to reflect revenues and expenses related to Russia within their historical financial statement line items and operating segments. However, we have reclassed net operating profit attributable to Russia for the month of March that had not yet been redirected to humanitarian efforts as of the end of the quarter from the operating segments in which it was earned to our corporate and unallocated segment. Those operating profits have been reflected within other income/expense and reflected as a special item. David and Chris will provide additional context in their prepared remarks. For more information on our reporting calendar for each market, please visit the Financial Reports section of our website. We are broadcasting this conference call via our website. This call is also being recorded and will be available for playback. Please be advised that if you ask a question, it will be included in both our live conference and in any future use of the recording. We would like to make you aware of upcoming Yum! investor events and the following. Disclosures pertaining to outstanding debt in our restricted group capital structure will be provided at the time of our Form 10-Q filing. Second quarter earnings will be released on August 3, 2022, with a conference call on the same day. Finally, we will be hosting an in-person Yum! Brands Investor Day on Tuesday, December 13, 2022, at the New York Stock Exchange. Stay tuned for more details. Now, I'd like to turn the call over to Mr. David Gibbs.
David Gibbs: Thank you, Jodi, and good morning, everyone. Before I go over our first quarter results, I'd like to begin by sharing an update on our business in Russia and Ukraine. As a company that puts people first in every decision, I'm incredibly proud that we have made the safety and well-being of all those impacted by the tragedy in Ukraine as the top priority. I want to personally thank our many dedicated team members and franchisees working hard to navigate through this deadly conflict and manage our business in the most complex and challenging geopolitical environment in recent history. I'm proud of how our people in the surrounding regions have banded together and are doing everything possible to support impacted Ukrainian refugees, team members and franchisees, some of whom have overcome incredible challenges and have reopened a number of stores to serve food in communities where it is safe. Additionally, the Yum! Brands Foundation made a donation to the Red Cross to support those affected by the crisis. We activated the Yum! Disaster Relief Fund to support Ukrainian franchise employees and are matching employee donations to organizations providing relief in Ukraine, including UNICEF, the Red Cross, the World Food Programme and the International Rescue Committee. We previously announced the suspension of all investment and restaurant development efforts in Russia as well as operations of company-owned KFC restaurants and that we are finalizing an agreement with our Pizza Hut master franchisee to suspend all restaurant operations. In addition to these actions, we have begun a process aimed at transferring ownership to local operators while, in the interim, we continue to redirect any profits from Russia operations to humanitarian aid. This is not a decision we take lightly and I know that it will be a complicated process to execute these transactions. We will update you on this process during our second quarter earnings call. Chris will provide more details around the financial impact from Russia on the quarter. I'll now discuss our first quarter results, which illustrate the resiliency of our highly franchised diversified growth model. Our first quarter system sales growth of 8%, driven by both unit development and same-store sales growth, is a testament to our iconic brands and the unmatched operating capabilities of our world-class franchise partners. We set a first quarter development record, opening nearly 1,000 gross units, supported by positive unit growth at each of our brands. Our continued same-store sales momentum was fueled by our brands executing our Recipe for Growth strategy by providing relevant value, access via new channels, distinctive products and a strong brand voice, all supported by our digital and delivery capabilities. Our digital channels continue to accelerate with digital sales of approximately $6 billion, a new first quarter record, reflecting an increase of 15% year-over-year. Importantly, we set a new digital mix record, now exceeding 40%. In this complex and highly inflationary operating environment, we and our franchisees remain focused on maintaining long-term profitability by leveraging our scale and strategic pricing actions while still offering our customers convenience and value. The many competitive advantages of our unrivaled talent, our sophisticated franchise system and the power of our business model give me great confidence that we are well prepared to navigate these complexities and deliver robust global growth. Let me share a few global trends from the quarter. As Yum China shared on its first quarter earnings call last night, COVID-related lockdowns impacted restaurant operations and depressed sales in that market, temporarily delaying an eventual recovery. However, our results outside of China remains strong. In fact, excluding China, both our KFC Division and Pizza Hut International same-store sales were up 10%, which would result in consolidated Yum! same-store sales excluding China of 6% for the quarter. We're pleased with the continued momentum in our developed markets as they lap strong results from last year and we're excited about the continued resurgence of emerging markets, with same-store sales excluding China of positive 18% for the quarter. We continue to be encouraged by the global consumer recovery underpinned by returning consumer mobility, creating a tailwind for our on-premise dining while we sustain our off-premise business. Next, I'll discuss two of the four Recipe for Growth drivers: Our Relevant, Easy and Distinctive brands or RED for short; and our Unrivaled Culture and Talent. Then I'll discuss the progress we've made on our Recipe for Good. Turning to our first growth pillar: our Relevant, Easy and Distinctive brands. Starting with the KFC Division, which represents 51% of our operating profit. First quarter system sales grew 9%, driven by 8% unit growth and 3% same-store sales growth. To illustrate the strength of the KFC brand around the world, I thought I'd highlight a few markets that showed meaningful improvement in the quarter, specifically the Middle East, Latin America and Africa. Our Middle East market delivered 40% system sales growth, fueled by robust transaction growth. Our marketing teams led with a healthy balance of new products with the launch of the Messy Burger as well as innovative value-focused flavory items such as the Twister Blaze. These items drove both value perception and new customer acquisition. Additionally, the team's focus on meeting the needs of our customers through digital and off-premise channel growth while the dine-in business bounces back fueled our strong results. Latin America is another standout market. This quarter, system sales grew 34%, thanks to our team hitting on all fronts. All countries in the market deployed a balanced marketing calendar focused on value to drive velocity and transaction while taste campaigns continued to build brand strength. This came to life for consumers in January with the Genius Menu value ladder that's helping recover the individual occasion. In March, the Latin American market launched the Kentucky Fried Chicken sandwich for the first time, which drove over 10% growth in the sandwich category. Another market worth highlighting is our Africa business, which has been incredibly resilient as system sales grew 25%. Results were fueled by a continued traffic recovery, leading to transaction growth ahead of pre-COVID levels, a sign our value-driven strategy that offers successful price points resonated well with customers. Finally, in the U.S., our KFC team is working hard to maximize convenience for the customer and focusing marketing efforts on creating greater awareness of our off-premise channels, including Quick Pick-up services and our white label delivery offering. The incremental sales layers we've built over the past two years, including our digital ordering channels and the chicken sandwich platform, contributed to top line growth this quarter in the face of a difficult operating environment. Additionally, we offered Beyond Fried Chicken in the quarter, which elevated the brand and boosted relevance, resulting in more media impressions than any other product launch in the brand's history. A consistent theme across each of these four markets is the continued growth of digital transaction and the ability to execute an omnichannel strategy. Moving to the Taco Bell Division which represents 32% of our operating profit. First quarter system sales grew 8%, driven by 5% unit growth and 5% same-store sales growth. Taco Bell U.S. system sales grew 7%, driven by 2% unit growth and 5% same-store sales growth. I thought I'd start by celebrating Taco Bell's 60th anniversary as a brand. Given the brand's role as a culture leader in the industry, it's easy to forget its experience and heritage, all of which makes us even more confident in the brand's ability to navigate any economic environment. Taco Bell is executing on its strategy to inspire and enable the world to live más by remaining relevant, easy and distinctive to its customers. On the relevance front, Taco Bell continued to champion customer value with new offerings to meet all occasions, including the introduction of $2 burritos on the new Cravings Value Menu, adding to Taco Bell's existing $1 menu offering. The combination of Taco Bell's new Cravings Value Menu with its box and combo offerings positions Taco Bell well to serve the needs of all customers. Beyond value, Taco Bell was actively marketing craveable distinctive foods, from its limited-time crispy chicken wings to the return of our fan favorite Nacho Fries. Additionally, the return to the Super Bowl with Doja Cat marked the distinctive cultural moment in the quarter. We're building on this cultural moment with a long anticipated and much celebrated upcoming return of the Mexican Pizza which Doja Cat announced in April. Taco Bell International system sales grew 37%, driven by 26% unit growth and 12% same-store sales growth. We continue to build brand momentum in multiple markets, including the U.K., Spain and India. Our new strategy to reach scale in a few key markets has driven brand awareness, thereby improving new unit returns that lead to accelerated growth. Next, the Pizza Hut Division which accounts for 18% of our operating profit, saw first quarter system sales grow 3%, driven by 5% unit growth and flat same-store sales growth. At Pizza Hut International which represents 11% of our operating profit, system sales grew 10%, underpinned by 7% unit growth and 5% same-store sales growth. We opened 283 gross units, setting a Q1 record. With further easing in COVID restrictions, we saw strong contributions from India and Latin America, where system sales were up 44% and 18%, respectively. At Pizza Hut U.S. which represents 7% of our operating profit, system sales declined 6% for the quarter, attributable to a 6% decline in same-store sales and flat unit growth. While consumer demand remains strong, sales softness in the quarter stems from our delivery channel where capacity constraints limited our ability to meet demand. This was driven by staffing challenges, mainly from delivery driver shortages that have been felt across the industry. The team is prioritizing restaurant operations, including a focus on improving staffing levels, restoring operating hours, increasing online ordering availability and more effectively leveraging the use of our overflow call centers. Additionally, in early Q2, we completed the integration of delivery as a service into our point-of-sale system. This is leading to accelerated system adoption, allowing us to leverage third-party aggregators to augment our own delivery drivers. Another action item we're taking is expanding customer access to the Pizza Hut brand via aggregator marketplace. We are excited about the potential incremental growth from aggregator marketplaces based on outperformance we're seeing from existing franchisees using this channel. Lastly, at The Habit Burger Grill, first quarter system sales grew 17%, driven by 13% unit growth and 3% same-store sales growth. To streamline restaurant operations for team members this quarter, we promoted operationally easy to execute customer favorites such as our Patty Melt and the Santa Barbara Charburger. We continued to lean into digital-only promotions and saw a strong response to our delivery and app-only campaigns in the quarter that ultimately drove an increase in app downloads and active app users. Even as consumer mobility improved in the first quarter, our digital sales across multiple channels increased sequentially, continuing to demonstrate the stickiness of these ordering options. Moving on to our Unrivaled Culture and Talent growth driver. We kicked off the celebration of our 25th year as a publicly traded company with several powerful forums that galvanized our top talent around engagement and development. For the first time in five years, we brought our top 250 leaders from around the world together for our Global Leadership Summit. Our technology leaders at the summit made up the largest functional group which speaks to the investments we've made in differentiated technology capabilities and growth-oriented functions. We also showcased the progress our brands have made putting our Recipe for Good priorities at the center of our future growth, not only with less carbon and less packaging and waste but also by making equity and inclusion come alive across every aspect of our business, from our talent to our brand marketing to our suppliers and franchisees. Additionally, we were proud to take many of our aspiring leaders to the Women's Foodservice Forum, where our Chief Operating Officer and Chief People Office, Tracy Skeans, serves as chair. It was wonderful to see Yum! so prominently represented in a forum dedicated to growing women in our industry, something truly important to us as we're increasing the number of women in senior leadership globally and are on track to achieve gender parity in leadership by 2025. Finally, a group of our diverse leaders gathered in Washington, D.C. to discuss how we inspire and advance equity, inclusion and belonging across all levels of our organization. When it comes to our Recipe for Good, we invest in critical work that's focused on our three priority areas of people, food and planet. Just last month and as part of our larger climate strategy, Yum! joined the Supplier Leadership on Climate Transition global consortium which was created to accelerate climate action throughout supply chain. Our climate work has started to take shape in markets such as KFC U.K., where they have partnered with the University of Liverpool to develop a road map to achieve net zero carbon and zero waste. To wrap up, this continues to be an incredibly challenging operating environment but my confidence in our future remains high given the resilience of our iconic brands across our global diversified portfolio. Our unmatched global scale provides us unique competitive advantages, including our sophisticated supply chains with cross-brand purchasing power, strong marketing and consumer insights, expanding digital and technology capabilities and our capable, committed and well-capitalized franchisees that are willing to invest in the long-term growth of the business. This quarter's results continue to demonstrate the power and sustainability of our business model while we continue to deliver lasting value for our stakeholders for years to come. With that, Chris, over to you.
Chris Turner: Thank you, David and good morning, everyone. Today, I'll discuss our financial results, our Bold Restaurant Development and Unmatched Operating Capability growth drivers and our solid balance sheet and liquidity position. I'll start by discussing our financial results. Our first quarter system sales grew 8%, driven by 6% unit growth and 3% same-store sales growth, reflecting our continued global momentum. During the quarter, we opened 997 gross units, a Q1 record for Yum!. Core operating profit decreased 5% for the quarter, including a negative impact from Russia of 1%. Ex special, general and administrative expenses were $252 million, tracking in line with our expectations for $1.1 billion of G&A expense for fiscal 2022 and a return to our normal quarterly cadence. Despite inflationary headwinds, we maintained company-owned restaurant margins of approximately 22% at Taco Bell, in line with Q1 2019 pre-COVID margins. Finally, EPS excluding special items was $1.05, representing a 1% decrease year-over-year. Next, I'll address the impact to our first quarter results from the Russia conflict in Ukraine. We previously announced the suspension of all investments and restaurant development efforts in Russia as well as operations of company-owned KFC restaurants and that we are finalizing an agreement with our Pizza Hut master franchisee to suspend all restaurant operations in that brand. In addition to these actions, we pledged to redirect profits from operations in Russia to humanitarian aid. Our core operating profits in Russia declined versus the first quarter of last year, negatively impacting our Yum! core operating profit growth by 1 percentage point. Finally, as David previously shared, we have begun a process aimed at transferring ownership to local operators. We will plan to provide additional updates on the process on our next earnings call. Given the rapidly evolving operating environment, we wanted to provide our latest thoughts on full year results and the shape of the year. We remain confident in the strength of our business and our ability to achieve our long-term growth algorithm in future years. In 2022, the underlying momentum of the business gives us confidence that we can still deliver on the same-store sales, unit growth and system sales aspects of our long-term growth algorithm. Were it not for the loss of Russia profits, we would deliver on all elements of our long-term growth algorithm in 2022. However, losing 3% of full year core operating profit from the exclusion of Russia profits puts us outside of our high single-digit core operating profit range this year, with our current forecast closer to mid-single-digit core operating profit growth. With strength in many key markets, continued emerging market recovery and strong development momentum, our teams will continue to strive to overdeliver against our current forecast. We'll keep you updated as the year progresses. As a reminder, given the shape of our anticipated G&A spend in 2022 in comparison to 2021, we expect our G&A expense to remain a headwind to Q2 core operating profit growth and a tailwind to second half core operating profit growth. Additionally, we expect continued softness in China and a full quarter impact from the exclusion of Russia profits. Therefore, we now expect Q2 core operating profit trends to be similar to Q1 and we remain on track with our prior expectations for high-teens core operating profit growth in the second half of the year. While our system sales and operating profit results shared during today's call excluded the impact of foreign currency, we wanted to provide a brief update on the impact in the quarter and the anticipated impact on both our second quarter and full year results. For Q1, our reported operating profit was unfavorably impacted by $14 million due to foreign currency translation. Based on current exchange rates, we expect FX to reduce second quarter reported operating profit by approximately $12 million to $14 million and reflect a headwind to full year reported operating profit of approximately $30 million to $45 million. This is directional guidance as rates will likely change as we move through the year. Moving on to our Bold Restaurant Development growth driver. I'm excited to share that we had another quarter with each of our brands reporting strong positive unit growth. During the quarter, we opened 997 gross units, resulting in 628 net new units, a Q1 development record for Yum!, contributing to 6% unit growth over the last 12 months. We wouldn't be able to achieve these record-breaking results without broad-based contributions from multiple markets across each of our brands. In fact, we had over 500 gross units and 261 net new units opened outside of China, contributing to 5% unit growth in the rest of world year-over-year. Both KFC Division and Pizza Hut International delivered another exceptional development quarter with 587 and 283 gross units opened, respectively. While Yum China continues to be our lead developer, there were significant contributions from each of these brands in India, Asia, the Middle East and Latin America. Taco Bell remains on track for another record development year with growth in next-gen assets in the U.S. and additional markets reaching scale internationally. On that front, we're excited to share that Yum China has committed to expanding the Taco Bell brand which will allow even more people to live mass as we build our brand identity globally and grow our footprint in that market. To that end, we now expect to have three more markets to cross the critically important scale threshold of 100 units by the end of 2022, joining Spain which reached that milestone in 2021. The global development landscape is increasingly complex. But the sophistication, scale and capabilities of our teams and franchisees provide competitive advantages that allowed us to deliver yet another quarter of record unit openings. The visibility into our development pipeline remains strong. Now, I'll discuss our Unmatched Operating Capability and the three key elements we're leaning into: Easy Experiences, Easy Operations and Easy Insights. Before I provide an update across our Easy pillars, I want to comment briefly on our global supply chain. Our supply chain teams continued doing an amazing job building supply chain contingencies and acting as needed to secure product availability, including restaurant equipment which is necessary for new store openings. Additionally, I'm proud of how our sourcing teams are leveraging our scale and cross-brand purchasing power to help our franchisees and equity stores manage costs in this highly inflationary environment as an important lever in maintaining long-term profitability. This scale combined with our operating experience and learnings from exposure to over 155 markets around the world create a unique competitive advantage for us as we navigate these inflationary pressures. Starting with Easy Experiences. With continued reopening trends in markets around the globe, a frictionless experience remains front and center for the consumer. With that in mind, we are constantly adding new convenient ways for our customers to access our brands. KFC U.S. and The Habit Burger Grill have made digital ordering even easier. Customers can now order via the app and pick up their food from a specific cubby or shelf within the restaurant. This enables a quicker and more seamless experience that eliminates the need to wait in line at the counter or in the drive-thru. Quick Pick-up is fully deployed across the KFC U.S. system and roughly 1/3 Of the Habit stores currently have dedicated pickup shelves, with plans to expand more broadly in the coming months. In addition, Taco Bell U.S. recently launched a similar program in their equity stores and will continue to deploy it across their systems more broadly in the coming quarters. Both delivery and early tests of Quick Pick-up continue to free up drive-thru capacity for the Taco Bell system which helped fuel their ninth consecutive quarter of average drive-thru times under four minutes, with a sequential improvement from their fourth quarter drive-thru speed. Internationally, we have exciting projects in early stages, including our KFC Australia business which is piloting a drone delivery program that gets our finger-licking good products to our customers' home or office in less than 15 minutes on average from when it's ordered. Next, I'll move on to Easy Operations, in which we are focused on streamlining operations for our team members and franchisees. We are installing a new kitchen display system and smart hub and leveraging our cloud-based point-of-sale system in our Taco Bell locations with the goal of modernizing the employee experience and providing more digital capabilities within our restaurants. These systems separate out delivery orders from standard drive-thru orders, allowing for improved visibility and execution in the restaurant by our team members. At KFC U.S., we're improving back-of-house operations by expanding our Mobile Manager, a back-of-house suite of applications which simplifies ordering, inventory management and digital order fulfillment, enabling our team members to spend more time focusing on the customer experience. Pizza Hut continues to make progress putting technology in the hands of its team members through continued global expansion of Dragontail, HutBot and the 360 Coach platforms. Given the driver staffing challenges we're experiencing in the Pizza Hut U.S. business, we're piloting the Dragontail platform in over 100 of our U.S. stores to improve the efficiency of our delivery network. We're excited by the early results and the platform is working as we hoped given the outstanding performance we've seen in other markets around the world. We're in conversations with our franchisees to expand this cutting-edge platform across the U.S. system. Third, I'll discuss Easy Insights, in which we focus on using data and analytics to drive more effective marketing and leverage our insights to enhance the customer and team member experience. At Taco Bell U.S., we continue to experiment with new and innovative ways to engage with our consumers through LTO programs such as the Taco Lover's Pass which helped fuel growth in loyalty memberships during the quarter and which drove customer frequency. Kvantum continues to scale its media mix marketing tool which was recently used in several Pizza Hut International markets to drive incremental sales with a more efficient use of marketing spend. Additionally, we continue to build targeted artificial intelligence and machine learning-based tools, including an exciting new pricing tool that is being piloted in select international markets. Next, I'll provide an update on our strong balance sheet and liquidity position. We ended the quarter with cash and cash equivalents of $365 million excluding restricted cash. On April 1, we called our $600 million 7.75% YBI bonds due in 2025. The repayment was funded by the issuance of a new $1 billion 5.375% YBI bond due in 2032. We were especially pleased with the strong demand and execution in light of the rate environment and volatility in the financial markets. With the recent bond offering which closed subsequent to the quarter, our consolidated net leverage is roughly in line with our target of 5x. Our capital priorities remain unchanged: invest in the business, maintain a healthy balance sheet, pay a competitive dividend and return the remaining excess cash to shareholders via share repurchases. Capital expenditures, net of refranchising proceeds, during the quarter were $18 million. We continue to expect net capital expenditures of approximately $250 million for the full year, reflecting roughly $100 million in refranchising proceeds and up to $350 million of gross CapEx. With respect to our share buyback program, during the quarter, we repurchased 3.4 million shares at an average share price of $121 per share, totaling approximately $407 million. In closing, I'm pleased with the results of the quarter. We opened a record number of units for the first quarter, driving impressive system sales growth. We remain committed to advancing our digital and technology capabilities, leading to enhancements in both the team member and customer experience. And I'm confident in our team's and franchisees' ability to win in a dynamic and complex global landscape. With that, operator, we are ready to take any questions.
Operator: [Operator Instructions] Our first question is from Dennis Geiger of UBS.
Dennis Geiger: I was wondering if you could talk a little bit more about the brands in the U.S., how they're positioned right now and I guess, really what you're seeing from the customer in recent months. Have behaviors changed at all? Anything that you would call out there? And I guess, most importantly, just kind of looking ahead. David, I think you spoke to the resiliency and how Taco Bell and some of the brands can navigate a tough consumer spending environment. So just wondering if you could speak a little bit more to that, please.
David Gibbs: Yes, sure. Thanks for the question, Dennis. Just as far as the consumer, I would say that the U.S. demand is generally strong. But this is a really complex environment. I know a lot of people talked about the K-shaped recovery and bifurcated with higher income consumers in better shape than lower income. I think that's true but I think that's probably a little bit of an oversimplification. I don't know in my career if we've seen a more complex environment to analyze consumer behavior than what we're dealing with right now. From an economic standpoint, you've got inflation, rising wages. You've got the funkiness of the stimulus lap -- that we're lapping from last year. But you've also got all these societal issues, like mobility coming out of COVID, consumer reaction to war in Eastern Europe, working from home, changing consumer patterns. All of this makes for a pretty complex environment to figure out how to analyze it and market to consumers. And that's a great part about Yum!. We've got the scale and the talent to do that better than we think anybody else in the industry and navigate that complexity with our internal divisions like Collider, which is an expert on consumer behavior; Kvantum helping us figure out how to navigate the immediate landscape to market to those consumers; and all of our marketing and talent -- marketing talented leaders in the U.S. and around the world. So complex environment, but as usual, convenience and value matters in this environment. And we believe we're leaders across our brands in that regard. You're seeing that result really in all the brands in Q1 in the U.S. The challenge obviously at Pizza Hut was less of sales performance, it's simply just due to demand -- the demand is there but simply due to our ability to meet that demand with drivers. This has been documented by others. But generally, as you mentioned, resiliency is a key feature of our brands. And going forward, we actually feel really good about our ability to navigate this environment and continue to prosper.
Operator: Our next question is from John Glass of Morgan Stanley.
John Glass: Chris, just inside your new mid-single-digit core operating profit ex -- with the impact of Russia, what are you assuming China does in that? I suspect that's another pivotal piece. What gives you confidence in that reacceleration in the back half? I understand comparisons are easier. And just when you look at that guidance, 6% unit growth is above that long-term reset target. Is that a realistic view for this year? Or was the first quarter just unusually good and that's not necessarily the right run rate?
Chris Turner: Yes. Thanks, John. On the profit side, we feel really good with the profit plan for the year. We laid out the shape on our last call. We said the first half was going to be roughly flat. Of course, we now have a Russia impact. I think, that was one point in Q1. And of course, if you think about the lost profit growth in Russia, that actually gets you closer to a couple of points. And as you mentioned, the China impact. As you heard on their call, the business there is softer than expected, so that's had a bit of an impact. And we expect that going into Q2 as well. But -- so Q2 is going to land about where Q1 is. But those are the two primary drivers. And of course, when we think about the full year, we still think Russia is the one driver that takes us off of our algorithm from a profit standpoint for the year. Of course, we're going to work hard to try to overdeliver against that plan. So in general, we feel really good about the profit plan with a little bit of noise there on those two factors. In terms of development, we feel great about the pipeline. Our Q1 was strong, but the pipeline looking to the rest of the year remains strong as well. And of course, it's our job every day to come in and find ways to overdeliver against that 4% to 5% unit guidance. Of course, keep in mind, we had 100 net new units from Russia last year. Even without the 100 net new units, we still feel good about delivering on that part of the algorithm.
Operator: Our next question is from Jon Tower of Citi.
Jon Tower: Just two real quick for me. Just going back to that unit growth piece specifically. Can you talk about perhaps how management incentives across the company may have been realigned in recent years to kind of focus more on this growth aspect of the business, the unit growth side, specifically across the brands? And then secondarily, drilling down specifically into Pizza Hut U.S. and the move to 3PD, using it as a sourcing and fulfillment platform. Can you comment on the decision to move that way specifically? Why do the fulfillment side using 3PD and potentially giving up that competitive advantage that the brand holds from a delivery standpoint?
David Gibbs: Thanks, Jon. I'll take the first question. Chris will comment on Pizza Hut. As far as unit development, obviously, we're very proud of the progress that we've made. And yes, we have actually introduced some new incentives company-wide around development. We thought it was important to just unite ourselves and our franchise partners to take advantage of, frankly, an environment that's really favorable to us. Our brands have gotten stronger over the last two years in general. Our business model is stronger. And there are really great opportunities to expand our footprint in a lot of economies around the world where there have been some discounts to available real estate. And you're seeing all of that come together through the use of incentives with our team and with - in some cases, in franchise markets. And that's all leading to an increase in the pace of development that we're proud of. And as Chris mentioned, we have visibility into the pipeline and believe it will continue.
Chris Turner: Yes. And on the second part around Pizza Hut U.S. and the shift to using third-party delivery, as David said earlier, we still see strong demand in the Pizza Hut U.S. business, but it's primarily a challenge of being able to fulfill it with the labor challenges around drivers in particular. That's the most pronounced challenge that we have from a labor perspective in the U.S. So that's part of the driver for continuing to shift to additional modes of being able to deliver. And we're doing that by adding in both delivery as a service, which is basically still having sales through our website and apps, but then fulfillment, leveraging those third-party drivers during peak periods when we need extra capacity to help us address some of those hiring challenges for drivers. But as we mentioned, we're also working with the aggregator partners on the marketplaces. And that's just part of our strategy for wanting to be ubiquitous, be everywhere that our company -- our customers want to do business with us. And we're seeing, in the early going on that, incremental growth from those channels. In fact, we've got one of our leading franchisees who has already moved on to those platforms and is running 4 points or so ahead of the system which is primarily driven by the incremental customers that they're finding on those platforms. And of course, the way we negotiate the economics in those deals, in the U.S., we really are indifferent in terms of where the sales fall. We ensure that our economics are roughly the same across channels. So we want to be there wherever our customers want to do business with us.
Operator: Our next question is from David Palmer of Evercore.
David Palmer: That was an interesting comment just right then. You said it was -- the franchisee was 4 points better than the average, so down low single digits as opposed to down 6%. Is that the type of thing you were seeing when they did that third-party collaboration?
Chris Turner: Yes, yes, running 4 or 5 points ahead of the system. And the vast majority of that we attribute to the incremental customers that they're finding through the platform.
David Palmer: And do you think that that's going to be -- the majority of the system will be doing something similar to that franchisee by the end of the year? And I guess I'm wondering if -- this is a little crystal ball-ish but do you think that the third-party delivery adoption will be fairly universal within the U.S.? And do you anticipate on top of that some sort of labor easing being a path forward here to flat to positive comps for the U.S.?
Chris Turner: Well, in terms of the strategy to address these challenges, David Graves and Aaron Powell, who are doing a great job dealing with this very dynamic environment, those are a couple of key parts of their strategy for dealing with this. And we'll be implementing the delivery as a service, as we mentioned in the earlier comments, over the next two to three quarters. And then, of course, the franchisees each have a decision on how to work with aggregators but we do that under our umbrella agreement. And we expect that those kinds of gains continue to show up in the results. Obviously, I think more and more are going to be choosing to move in that direction. So the implementation will take a while but it's certainly part of the strategy for dealing with this really dynamic environment.
David Palmer: And then, just one last question is do -- what is the sort of mix that you get? Like that franchisee, for example, what sort of mix do they get from third party when they get that type of improvement? And I'll pass it on.
Chris Turner: It's still too early to tell. This is something that has just been implemented over the last few months, so still too early and still too limited a sample size, I think, to draw conclusions on a broad basis. But as we said, if you look at our business, there is this fulfillment challenge. Our carryout business was actually up in the quarter. So the primary challenge was on the delivery business. And so these strategies are directly pointed at that biggest root cause that's getting in the way of being able to serve and fulfill full customer demand.
Operator: Our next question is from John Ivankoe of JPMorgan.
John Ivankoe: I did want to revisit some of the comments on economics which is -- clearly, I mean, these brands have been around long enough in the U.S. and globally that, I guess, there are enough maybe previous experiences that we can maybe pick and choose from historically. So in environments where consumers' costs have risen faster than their incomes and obviously, there are so many costs that are rising for the consumer, where does the consumer or where might the consumer typically cut back? Is it in visitation? Or is it in ticket? And I guess this is kind of the first point. Secondly, if it is ticket, when you guys look back '22 versus '19, how much of that average ticket gain do you think was actually frothy, the consumer that maybe traded up or added on or larger sizes, what have you, to unsustainable levels versus how much average ticket do you think may naturally come out of the business as the consumers still use the QSR brands for all the obvious reasons but can just find back ways that you'd basically revert to the mean in terms of what they actually buy and how they use the various brands?
David Gibbs: Yes. Thanks for the question, John. Obviously, the -- on the ticket, I think the biggest driver of the ticket increase over the last few years has actually been party size rather than premiumization, although they're both drivers. So as we see mobility return, individual meals return, that could bring down ticket without necessarily implying consumers are trying to cut back on cost per eater. But as far as the consumer and how's their behavior in this environment, some of the other things to think about are the fast casual category has grown a lot. We expect that if there's cutting back, that there'll be some trade down from fast casual back into QSR which will be favorable for us, particularly Taco Bell which I think is well positioned to capture some of those visits. But it all comes back to this theme of the QSR industry is built on convenience and value. Convenience and value win in any environment, particularly when you couple it with our great brands and innovative products that we're constantly introducing. And you saw Taco Bell's performance in Q1 in the U.S., plus 5%, one of the better numbers for the major QSR chains. And then you saw the growth that we're getting in Taco Bell internationally. So, I think we feel like we've got momentum and this environment is not going to get us off of it but we're going to have to do what we always do which is continue to pivot and evolve our offerings to meet consumers' needs. Talk about a great example, 70% of our U.S. profit, they've been leaning in on the Cravings Value Menu which is $1 and $2 price points. And that's working to meet the needs of consumers with less money to spend. But at the same time, they've been able to take price across the rest of the menu on their combos and more premium offerings and that's working as well.
John Ivankoe: And if it's appropriate to comment, is there any near-term change just in the last month or two from consumers that are closest -- geographically closest to the crisis in Russia and Ukraine? Obviously thinking about some of the Central, Western or -- European markets in terms of how that consumer may have reacted due to some of these terrible events.
David Gibbs: Yes. No, surprisingly, our business in Europe and you can see it from the numbers, is doing quite well. So we're not seeing -- to the point of your question, we're not seeing an impact on adjacent businesses. We're seeing the prevailing factor there is just sort of return to mobility in Europe and the recovery of our businesses that were suffering more at this time last year.
Operator: Our next question is from David Tarantino of Baird.
David Tarantino: Chris, I wanted to come back to your profit guidance for the year. And I think you mentioned multiple times that you're working hard to overdeliver versus that plan. And I wondered if you could just elaborate on what factors that you see could drive upside to the plan. If you were to see upside, where would it come from in your view? And then secondly, I guess, to balance the discussion, where do you see the greatest risk to the current plan?
Chris Turner: Yes. Thanks, David. As with all elements of our algorithm, we're always working to find ways to overdeliver. We called out the one primary driver which, on profit, creates a headwind this year which -- going into Q2, Q3, Q4, we're going to lose 3 points of operating profit plus the planned growth in Russia as we exclude those from the results and direct any profits from Russia towards humanitarian efforts. So that's the big headwind, of course. In the early going, as we said, this China softness is probably a little bigger than expected. I don't know the long-term trajectory there. You would think at some point in the long term, China will rebound and that business should see growth. But I'm sure the timing on that is uncertain. If you think about other puts and takes, I think emerging market strength. If you look at our 18% same-store sales growth in emerging markets, that's a great sign of recovery and a big important part of our business. So that's a place where you might see upside. Of course, on the flip side, we'll continue to navigate the really dynamic environment around inflation, pricing and how those are playing out in each of our markets around the globe. Right now, we think we're dealing with those incredibly well. Our scale gives us advantage and gives our franchisees advantage in dealing with those. But -- a very dynamic environment but we feel really good about the overall profit engine of the business.
Operator: Our final question this morning is from Brian Mullan of Deutsche Bank.
Brian Mullan: Just kind of a big picture question but do you see any potential one day for a cross-brand loyalty program at Yum!? Is that something that you think could potentially work in the quick service restaurant industry in the U.S.? Or conversely, are there some reasons why that wouldn't work or wouldn't be a good idea maybe from a consumer perspective or a franchisee perspective?
Chris Turner: Yes. So Brian, good question. Loyalty is becoming an increasingly important part of our business, increasingly important part of our digital experience that we provide to customers. More than half of our restaurants around the globe are part of a loyalty program. Taco Bell in the U.S. is a great example of how we're driving excitement through loyalty. That's what we did with the Taco Lover's Pass. And that helps to drive app downloads and people signing up into the program and we continue to see significant growth in membership in that program. Pizza Hut obviously in the U.S. has a large and very impactful loyalty program. And KFC has great loyalty programs in a number of markets around the globe. So we're going to continue to focus on that, implementing it in markets where it makes sense. Interesting question. Obviously, we thought about it in terms of cross-brand loyalty. Right now, we're focused on maximizing the value of our brand-focused loyalty programs. But obviously, as our data and analytics capabilities continue to evolve, all sorts of possibilities are out there in the future. But for the time being, we'll remain focused on brand-specific loyalty programs.
David Gibbs: So thank you, everybody. I appreciate your time. Just to wrap up, it was another strong quarter obviously with good top line sales growth, all brands growing. The development numbers, obviously, we continue to set records which we're very proud of. And that's widespread, right? All of our brands grew at least 5% on a net new unit basis in the quarter. Another digital sales record which we keep saying on every call and we just keep on delivering on. And then this time, we passed that important milestone of 40% digital mix. And I just think, in total, the quarter represents our brands all around the world are healthy and can perform in any environment. This is certainly one of the most challenging ones we've ever had to deal with, proving the resiliency of our business model. Thank you for your time.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your line.